Analysts: Brody Preston - UBS Timur Braziler - Wells Fargo Alex Twerdahl - Piper Sandler Kelly Motta - KBW Thomas Leddy - RBC
Operator: Good morning, ladies and gentlemen. Thank you for attending today’s Popular, Inc Q1 2023 Earnings Call. My name is Tia, and I will be your moderator for today’s call. All lines will be muted during the presentation portion of the call with an opportunity for questions-and-answers at the end. [Operator Instructions] I will now like to pass the conference over to your host, Paul Cardillo with Popular, Inc. Please proceed.
Paul Cardillo: Good morning and thank you for joining us. With us on the call today is our COO, Javier Ferrer; our CFO, Carlos Vazquez; and our CRO, Lidio Soriano. They will review our results for the first quarter and then answer your questions. Other members of our management team will also be available during the Q&A session. Our CEO, Ignacio Alvarez is unavailable today due to a medical matter. We expect him back at the office early next week. Before we begin, I would like to remind you that on today’s call, we may make forward-looking statements that are based on management’s current expectations and are subject to risks and uncertainties. Factors that could cause actual results to differ materially from these forward-looking statements are set forth within today’s earnings press release and are detailed in our SEC filings. You may find today’s press release and our SEC filings on our webpage at popular.com. I will now turn the call over to our COO, Javier Ferrer.
Javier Ferrer: Thank you, Paul. Good morning and thank you for joining the call. We began the year with a strong quarter, achieving net income of $159 million. Our quarterly net income was $30 million lower than the adjusted fourth quarter net income of $189 million. First quarter results were impacted by lower net interest income, offset in part by lower expenses, higher net interest income and a slightly lower provision for credit losses. Loans increased during the quarter by $261 million Banco Popular generated loan growth across all segments, while Popular Bank saw commercial loan growth offset by runoff in the construction and consumer portfolios. Our net interest margin decreased by 6 basis points to 3.22% in the quarter. Higher deposit costs, particularly in our Puerto Rico public deposit portfolio, and a Popular Bank impacted our margin. This was partially offset by an improvement in asset mix due to loan growth and a reduction of the investment portfolio. Credit quality trends remain favorable during the period. MPLs decreased and net charge-offs remain well below pre-pandemic levels. During the quarter, Popular issued $400 million in five-year senior notes with a 7.25% coupon. We intend to use a portion of the net proceeds of the offerings to redeem or repay the $300 million principal amount of our senior notes that mature in September. Please turn to Slide 4. We maintain robust liquidity anchored by our diversified deposit franchise and our high levels of cash reserves and unpledged securities. Our deposit franchise is made up of approximately 42% in retail deposits, with an average balance of less than $10,000 per account. 25% of the balances are in public sector deposits, which are secured by collateral. 28% are in commercial deposits, and the remaining 5% are wholesale deposits. Overall, deposits were down by $273 million in the quarter. For liquidity sources were up by $1.3 billion. Our total consolidated borrowings, including our newly issued senior notes remain flat during the quarter. Our customer base in Puerto Rico grew by approximately 12,000 during the quarter, reaching nearly 2 million unique customers. Adoption of digital channels among our retail customers remained strong. Active users on our Mi Banco platform exceeded 1.1 million, or 56% of our customer base. In addition, we continue to capture more than 60% of our deposits through digital channels. This trend remains significantly higher than pre-pandemic levels, and well above our Island peers. In the first quarter, consumer spending remain healthy and with combined credit and debit card sales of 9% compared to the first quarter of 2022. As on the Mainland, mortgage originations in Puerto Rico have been impacted by rising rates and also by limited inventory of available properties. The dollar value of mortgage originations at Banco Popular decreased by 29% compared to the first quarter of last year, driven by lower refinance activity due to the interest rate environment. The local economy perform well during the first quarter. Business activity is solid and remains in good shape, as reflected in the continued positive trends in total employment and other published economic data. While new auto sales have slowed compared to the quarterly pace of the past couple years, they remain above pre-pandemic levels, evidencing continued robust demand for cars in Puerto Rico. The tourism and hospitality sector continues to be a source of strength for the local economy. Year-to-date, San Juan’s airport has seen record levels of passenger traffic. Hotel demand also has been strong as can be seen in record high average daily rate and revenues per available room. There are still approximately $50 billion of hurricane recovery funds that have yet to be disbursed. We expect that these funds will support economic activity in many sectors in the coming years. We are uniquely positioned to serve the needs of our customers and to benefit from such activity. In short, we are pleased with our results for the quarter, particularly our solid loan growth in Puerto Rico, and the continued strength of our deposit base, liquidity and credit quality. We are mindful of and have been monitoring the economic and market environment as well as the recent developments in the US banking sector. We will continue to manage our banks to maintain significant available liquidity as we grow responsibly. Despite these headwinds, we remain optimistic about the future of Puerto Rico, our primary market, and our ability to manage and serve the needs of our customers through any potential challenges that may lie ahead. I now turn the call over to Carlos for more details on our financial results.
Carlos Vazquez: Thank you, Javier. Good morning. Sorry, apologies. Please turn to Slide 5. Net income was $159 million compared to $257 million in Q4. Excluding the impact of the $68 million DTA allowance reversal in Q4, net income decreased by $30 million in Q1. Net interest income was $532 million, a decrease of $28 million from Q4, $9 million of this variance was related to a lower date count during the quarter. On a taxable-equivalent basis, net interest income was $570 million compared to $622 million in Q4. The variance was primarily a result of higher interest expense and deposit of $54 million, resulting from increased deposit rates, mainly from Puerto Rico public deposits, and to a lesser extent, Popular Bank. Non-interest income was $162 million, an increase of $3 million from Q4. Included in this result was a $7 million litigation-related insurance claim reimbursement. The provision for credit losses was $47 million, compared to $48 million in the fourth quarter. Total operating expenses were $441 million, a decrease of $21 million from the prior quarter. This reduction was primarily driven by lower professional fees by $16 million, as well as lower technology and software expenses by $10 million. Historically, these costs tend to be lower than the first quarter of every year. This is more accentuated in the first quarter of this year, due to our multiyear transformation initiatives. During Q1, we had $6 million transformation-related expenses compared to $10 million last quarter. As the transformation progresses, expenses will shift from advisory and conceptual plans to the development and execution of implementation plans. As a result, we expect a slower pace of expenditure initially, as in Q1, and an acceleration as the year progresses. We continue to anticipate transformation-related expenses of $50 million in 2023. Other large expense variances were lower seasonal business promotion expenses by $9 million, which was somewhat offset by higher personnel costs by $9 million, primarily related to the previously disclosed increase in hourly minimum wage at BPPR, that took effect in January, and lower OREO benefit of $7 million, mostly due to lower gain on sale of properties. Our quarterly expense trajectory has historically ramped up as the year progresses. We anticipate that 2023 will be consistent with that experience, and continue to expect expenses for the year of approximately $1.87 billion. Our effective tax rate for the quarter was 23%. For the full year 2023, we expect the effective tax rate to be within a range of 21% to 26% higher than the range provided during our last webcast. In the near-term, we expect to run our banks with a higher level of reserves at the Fed, which leads to less extent taxes and income and therefore a higher tax rate than we have previously anticipated. Please turn to Slide 6. Net interest income was $532 million. On a taxable-equivalent basis, it was $570 million, $51 million lower than in the fourth quarter. Net interest margin decreased by 6 basis points to 3.22% in Q1. On a taxable-equivalent basis, NIM was 3.46%, a decrease of 18 basis points. The decrease is driven by higher interest expense on deposits due to a significant, though anticipated 103 basis point increase in the cost of public deposits. This was partially offset by higher loan balances and yields, plus an improved mix of earning assets. At the end of the first quarter, public deposits were roughly $15.5 billion or $15.8 billion, excluding $700 million in deposits held and managed by our Trust division. This compares to $15.8 billion and $15.2 billion, respectively at year end. In the past, we had excluded the balances in Trust from our discussion about Puerto Rico public deposits. Given that these are managed by our Fiduciary Services Division, where we act as custodian or escrow agent. However, we have decided to aggregate these amounts to reflect the overall relationship with government entities and provide more visibility to collateralize deposits. These Trust deposits have always been reported in our total deposit balance. During 2023, now inclusive of Trust deposits, we expect public deposits to be in a range of $14 billion to $16 billion, essentially unchanged from our previous expectations of $13 billion to $15 billion that excluded Trust deposits. It’s important to reiterate that by law in Puerto Rico public deposits must be 100% collateralized. Any decrease in the level of these deposits will have no significant impact on our liquidity. Excluding Puerto Rico public deposits, consolidated deposit balances increased by $180 million in the quarter, primarily time and saving deposit of Popular Bank gathered through its direct channel. This compares to a decrease of $1.4 billion in non-public deposits during the fourth quarter. In Q1, we continue to see some commercial and high net worth clients pursuing better yields on excess liquidity, moving this funds outside the banking sector. However, we have been able to capture a good portion of this movement in our broker dealer, which saw an increase in assets under management of approximately $450 million. Since the end of Q1, overall deposits have increased by approximately $700 million. Our interest rate sensitivity continues to be relatively neutral. As the year progresses, we expect the margin to resume an upward trajectory. The timing will depend on the interaction of our loan growth and mix, deposit balances and the pace of re-pricing of public and incrementally non-public deposits. Our ending loan balances increased by $161 million compared to Q4, driven by growth on all loan segments at BPPR and commercial loans at PB. We are encouraged by the demand for credit at BPPR and PB. We will continue to take advantage of opportunities to extend credit, thereby improving the use and yield of our existing liquidity. Please turn to Slide 7. Deposit beta for the current tightening cycle are now at or above the prior cycle. We have seen a total cumulative deposit beta of 24% to-date. However, in Q1, we saw an acceleration of deposit pricing. In BPPR, total deposit costs increased by 35 basis points led by public sector deposits. In PB, total deposit costs increased by 67 points led by retail deposits, as we increased the use of our online deposit channel. In Puerto Rico, our combined retail and commercial deposit beta cycle to-date have been less than 10%. As we’ve discussed over the past couple of quarters, given the rapid shift to higher short-term interest rates, we expected a significant increase in the cost of public deposits. In the first quarter, the cost increased by 103 basis points versus our January estimate of roughly 120 basis points. The difference rests in lower average balances and the mechanics of the interest expense calculation. We expect the costs of public deposits to increase by approximately 60 basis points in Q2. The deposit pricing agreement with the Puerto Rico public sector is market linked with a lag. This source of funding results in an attractive spread under our market rates. Please turn to Slide 8. We have added the following two slides in our deck, because of the increased focus on liquidity, borrowings and deposit composition. Liquidity sources for the Corporation increased by $1.3 billion in Q1, 77% of this liquidity resides in excess funds at the Fed and unpledged securities. Borrowings for the quarter were flat at $1.4 billion. We reduced our Federal Home Loan Bank borrowings by $366 million in Q1. However, the issuance of our senior notes due in 2028, roughly compensated for that reduction. There were no incremental borrowings during the quarter for the Federal Home Loan Bank, the Fed Discount Window or the Bank Term Funding Program. On March 13, 2023, Popular issued $400 million or 7.25% senior notes during 2028. We intend to use a portion of the net proceeds of the offering to redeem or repay $300 million principal amount of our outstanding senior notes that mature in September 2023. Please turn to Slide 9. The summation of transactional accounts and time deposits with balances over $250,000 ended Q1 at $13.8 billion or 23% of total deposit balances. The liquidity sources described in Slide 8, the prior slide, totaled $18.3 billion covering 135% of deposits over $250,000. The balances of our non-interest-bearing deposits have been steady. Most of our recent balance changes have been in interest-bearing accounts. Please turn to Slide 10. Our investment portfolio is almost entirely comprised of treasury and agency mortgage-backed securities, which carry minimal credit risk, including our cash position, this portfolio has an average duration of approximately 2.6 years. As discussed previously, given the rapid increase in rates in 2022, as well as the uncertain outlook for interest rates, in October of last year, we transferred to held-to-majority $6.5 billion of US treasuries, thereby reducing the future impact of rates on tangible book value. At the time, this action reduced AOCI exposure to interest rates by about a third. When transferred to HTM, these positions had a pre-tax unrealized loss of $873 million, which will be amortized back into capital throughout the remaining life of the transferred positions. As of the end of the first quarter, the balance of this unrealized loss stood at $789 million, a reduction of $43 million from Q4 and $84 million from the transferred date. We expect this loss to be amortized back into capital through the remaining life of the portfolio at a rate of approximately 5% per quarter through 2026. As a result of the timing of this transfer, and given the level of rates at quarter end, all the unrealized losses relate to HTM portfolio are already reflected in our tangible capital. Therefore, at the end of the quarter, there are no significant recognized marks related to our HTM book. Please turn to Slide 11. Our return on tangible equity was 11.5% in the quarter. Regulatory capital levels remained strong. Our common equity tier 1 ratio in Q1 of 16.7% increased by 34 basis points from Q4. Tangible book value per share at quarter end was $50.15, an increase of $5.18 per share or almost 12% from Q4. This improvement is driven mostly by a favorable variance of $192 million in a net unrealized losses on securities available-for-sale, and quarterly net income of $159 million, partially offset by dividends declared in the quarter. Finally, touching on capital, we will revisit future capital actions in the second half of 2023. Our long-term outlook and capital return has not changed, anchored in our strong regulatory capital ratios. However, in the near-term, we need to get more certainty on the outlook for rates in the economy, and also for clarity on the potential regulatory response to recent events in the banking sector. Over time, we expect our regulatory capital ratios to gravitate towards the level of our Mainland peers plus a buffer. With that, I turn the call over to Lidio.
Lidio Soriano: Thank you, Carlos and good morning. Overall, Popular continue to reflect stable credit quality trends with low levels of net charge-offs and decreasing NPLs. We remain encouraged by the performance of our loan book post pandemic, specifically early delinquency, net charge-offs and non-performing loan inflows continue to trend significantly below pre-pandemic levels. Turning to Slide 12. Non-performing assets decreased by $24 million to $504 million this quarter, driven by an NPL decrease of $27 million due to lower mortgage and consumer NPLs in Puerto Rico, offset in part by OREO increase of $3 million. NPL inflows increased slightly quarter-over-quarter. At the end of the quarter, the ratio of NPL to total loans held in portfolio decreased to 1.3% from 1.4% in the previous quarter. Turning to Slide 13. Net charge-offs amounted to $33 million were annualized 41 basis point of average loan held in portfolio compared to $31 million or 39 basis points in the prior quarter. The results for the quarter were impacted by a $10.5 million charge-off on a previously reserved loan. Excluding this, the net charge-off ratio would have been 28 basis points. Please turn to Slide 14. At the end of the first quarter, the ACL decreased by $31 million to $689 million. During the quarter, we implemented the new accounting guidance, which eliminated the accounting for TDR and the requirements to measure the effect of the concession from a loan modification. This impact resulted in a release in the ACL of approximately $46 million, driven by a mortgage TDR portfolio, which is presented as an adjustment to the beginning balance of retained earnings, net of tax effect. Excluding this impact, the ACL increased by $14 million, driven by changes in HPI forecast, higher loan volume, portfolio mix, and the migration of consumer credit scores. The provision for credit losses was $47 million, compared to $48 million in the prior quarter. To summarize, our loan portfolio continue to exhibit strong credit quality trends in the first quarter, with low net charge-offs and decreasing non-performing loans. We remain attentive to evolving environment, we remain encouraged by the post-pandemic performance of our loan book. We believe net improvement inmates over time in the risk profile of the Corporation’s loan portfolio positions Popular to operate successfully on the more difficult economic conditions. Before I turn the call over to Javier, let me comment on Popular CRE office segment exposure. The office segment is receiving a lot of attention in the current environment due to achieved level of work and higher interest rates. In the case of Popular, our office exposure was limited representing only 1.9% or $605 million of our total loan portfolio. The exposure is mainly comprised of low-to-mid rate property with average loan size of $2 million and is well diversified across payment type. With that, I would like to turn the call over to Javier for his concluding remarks. Thank you.
Javier Ferrer: Thank you, Lidio and Carlos for your updates. Popular started off 2023 with a strong first quarter, building on the positive momentum generated in 2022. Our diversified business model and strong deposit base, robust regulatory capital and liquidity position are a source of strength, which allow us to continue to meet our clients’ needs as reflected by the growth in our customer base and loan portfolio during the quarter. We are optimistic about the opportunities that lie ahead and we remain vigilant around potential risk stemming from continued inflation and economic and market uncertainty. Economic trends in Puerto Rico continue to be positive and a considerable amount of recovery funds yet to be disbursed are expected to support increased economic activity in future years. We made progress on our transformation initiatives during the quarter, which over time will drive more customer connectivity, operational efficiencies, and greater potential for profitable growth and sustainable return on capital. I want to recognize and express our gratitude to our colleagues, it is their daily effort and commitment that lead to our customers’ continued trust in Popular and our strong results. We are now ready to answer your questions.
Operator: We will now begin the Q&A session. [Operator Instructions] The first question comes from the line of Brody Preston with UBS. Please proceed.
Brody Preston: Hey, good morning, everyone. Thanks for taking my questions. I was hoping maybe, Carlos could we dive back into the net interest income that the FTE situation. So you, I guess I’m trying to understand so you’re going to hold more cash at the Fed with both the Puerto Rican sub and the US and so that’s resulting in lower levels of tax exempt interest income. But is there I guess, is there some GAAP NII impact there as well? I’m just getting a few questions about it, it just came across a little confusing.
Carlos Vazquez: No, I think your description is correct, Brody you know with the cash we keep at the Fed earns taxable, it is for the Bank in Puerto Rico, by the way, mostly does not apply for bank in the states. It earns taxable income as opposed to when we hold treasury securities in our extent, to a larger extent the bank in Puerto Rico. So our mix of taxable and non-taxable income shift towards taxable, so that results in a higher tax rate.
Brody Preston: And will that get, I guess, will that strategy of holding higher levels of cash at the Puerto Rican sub will that get reversed once we get clarity on, you know, liquidity in the economy? Or is that like kind of like holding higher levels of cash through 2024 the expectations?
Carlos Vazquez: Well, at least for the moment, it’s our choice and we revisit that choice every week in our ALCO Committee. You know, we’ll see whether it continues to be our choice once the regulators express themselves.
Brody Preston: Got it. Okay. So it seems like it’s more conservatism at this point. Yeah, go ahead –
Paul Cardillo: You asked the question about impacting GAAP NII, given the yield on cash overnight at the Fed versus short-term rates is not very different. We wouldn’t expect a significant different in GAAP NII from that shift, currently our FTE NII will be affected because of that strategy.
Brody Preston: Okay. And I guess what is, I guess from this strategy how much on a quarterly basis is the FTE impacted?
Paul Cardillo: That will be driven by everything else on our, you know, the deposit costs that is allowed, et cetera. That’s the more complicated –
Carlos Vazquez: That’s a bit more complicated calculation. That one and of course, will also depends on us, our team and the strategy at the present level and that again is revalued constantly.
Brody Preston: Okay, but it’s fair to say that like as deposit costs move higher, if you kept the same level of cash at the Fed, that there will be an incremental drag on the FTE NII?
Carlos Vazquez: That will be fair, yes.
Brody Preston: Okay. And on the fee income. Okay, okay. On the fee income, I just wanted to get a sense for where you thought that would shake out going forward? And I’ll stop there and I’ll hop back in the queue for my other questions.
Carlos Vazquez: No fee income, our fee income is reasonably steady over a year, you divide by four, but then there’s already steady you know quarter-by-quarter basis. So they tend to fluctuate a little bit up and down. We’re happy to have started slightly ahead of our guidance $150 per quarter. But for the moment, we still think that guidance is applicable. And we’ll revise that again, depending on the results of the second quarter to see it is worth the change. So for the moment, we’ll keep the guidance. We’re very pleased that we’re slightly ahead, again, that number moves in both directions every quarter for many different reasons, because of the many lines that are in there.
Brody Preston: Okay. And could you just remind me, Carlos, it looks like are there any other service fees, there’s third quarter upward seasonality that will come through that’s still the expectation right?
Carlos Vazquez: That’s the insurance, right. Yeah, I mean, there’s – we get contingent insurance commissions paid out once or twice a year, it depends on the insurance company that we have, we’re dealing with, it tends to be in the second half of the year. I don’t remember exactly the third quarter, Brody, but it has to be in the second half of the year. Of course you know the other thing that has to happen is that the insurance market has to behave nicely for them to pay with the contingent fees. That will be in the second half of the year. Yes.
Brody Preston: Got it. Okay, thank you very much. I’ll hop back in the queue.
Operator: Thank you. The next question comes from the line of Timur Braziler with Wells Fargo. Please proceed.
Timur Braziler: Hi, good morning.
Carlos Vazquez: Good morning. How are you?
Timur Braziler: Good. Appreciate the comments on the expected range of public funds kind of $14 billion to $16 billion exiting the year. Maybe talking to second quarter specifically, can you just give an update on the magnitude of seasonal inflows you’re expecting in the quarter, kind of timing of those and then ultimately, where we could expect GAAP NIM and NII to kind of bottom out before starting to ramp higher in the back end of the year to your comments?
Carlos Vazquez: Yeah, well the – in the second quarter, we have tax revenues. So I think we mentioned before, we expect government deposits to go up this quarter. And we’ve seen some of that, we already mentioned that the deposits are up $700 million, so far this quarter. So while it’s harder for me to tell you exactly if they’re going to end higher than, because that depends on what the government chooses to do with their money, which is not our decision. Historically, they have tended to be higher in the second quarter, and then gradually take down in the second half of the year. What was the question on NIM again, Timur?
Timur Braziler: Just if you can provide any kind of magnitude on where NIM or NII could bottom in 2Q prior to resuming the ramp higher in the back end of the year?
Carlos Vazquez: No, no, we usually don’t give guidance on that type of detail. We, as I mentioned in my prepared remarks, we still expect NIM to take an upward trend again this year. The difficult part of that is that, it depends on how you know the things I mentioned interact, that we’ll be able to final this timing on what is going to shift. So it’s going to be a pace of increasing rates, loan growth and loan mix and also the deposit bounces and mix and how those three things interact is what results in the ultimate NIM. So, we still think is going to revert to an expansion mode this year. But for the timing, we have not spoken about the timings.
Timur Braziler: Okay. And then maybe one for Lidio. Excluding, you know, the impact of 2022-02 allowance levels continued to build, despite the broader trends on the Island improving? Can you maybe talk about some of the levers that were pulled within the portfolio changes that called for incremental allowance? And, you know, what do you need to see prior to releasing some of the incremental allowance and getting closer to a level, you know, maybe not where Mainland peers are, but at least starting to trend in that direction?
Lidio Soriano: What I think is a lot of different levers that were played during this quarter. As we mentioned, we have been doing good in terms of volume. So the volume increase their role, small role in terms of increasing allowance, the economic scenarios of a small role in terms of the increasing allowance, then you also have volume mix. We changed – we gravitated to some of our higher allowance portfolio of that also had a gradual impact in the allowance. We’ve also seen some gravitation, some consumer score that also had a small impact in allowance so it’s a combination of a lot of small things. So it’s the interplay of all of that and they continue looking from a net charge-offs that will dictate the allowance going forward –
Timur Braziler: Okay, thanks. And just – great and just last for me maybe back to Carlos. Cam you provide an update on merchant acquiring and the revenue share component how that’s trending and maybe an outlook for both ‘23 and ‘24 there?
Carlos Vazquez: Well, we don’t break out that number, Timur. But we did talk about the volume of credit and debit cards going up 9% versus the same quarter last year. It will go down versus the last quarter, because it’s seized from us you know. So you know, this just keeps growing, we’re getting a share of that. So I presume the numbers going up but we don’t have and I don’t think we’ll disclose the details of that number.
Timur Braziler: Yeah. Thank you, I’ll step back.
Operator: Thank you. The next question comes from the line of Alex Twerdahl with Piper Sandler. Please proceed.
Alex Twerdahl: Hey, good morning.
Carlos Vazquez: Good morning.
Alex Twerdahl: First off I was wondering if you can give us an update on expectations for loan balance outlook over the next couple of quarters?
Carlos Vazquez: Up. Now, I mean. I’m sorry, now as you know, we don’t give specific loan balance guidance. We did say that we expect the loan growth this year and we are seeing that, but we also expect it to be on a slower pace than we saw last year and we’re seeing that as well. So, the first quarter was a good quarter, you know it was a big quieter than the first quarter last year, obviously. You know, hopefully, as the economy locally, Puerto Rico particularly continues to grow and more projects come online, we’ll have more opportunities to close those by the client. So you know we hope all that make us better as the year goes along, I do not think even when it gets better that it will come to match last year’s growth.
Alex Twerdahl: Okay. And do you think growth comes from basically all categories as you saw in the first quarter or?
Carlos Vazquez: So in terms of – so far that’s we’ve seen in Puerto Rico and that’s actually been true since the middle of last year, Alex, so we probably will continue to be in most categories. But dollar terms, obviously, the category that carries the day is commercial. So in dollars is going to be mostly commercial, but we probably will see most categories continue to grow. You know autos is growing a bit less basically lower than it did last year. And we’ll see how the year evolves. So there is the effect of higher rates and how that affects the appetite of people for loans. We’ll have to see how that plays out during the year as well.
Alex Twerdahl: Okay. And to that last point on rates and appetite, can you give us a sense for where new loan yields are relative to the existing portfolio for consumer – I mean for commercial primarily?
Carlos Vazquez: I mean, the best you can do – we can do on that, Alex is, on our levels on yields on the press release, you have loan yields by category, and you can see the variation from last quarter to this quarter. We don’t provide so any more detail on yields than that.
Alex Twerdahl: Okay. In the slide deck on the deposit slide, can you just help us understand exactly what’s happening in the commercial deposits as well as the government deposits towards the end of the quarter? It looks like those rates ticked down a little bit?
Carlos Vazquez: Yeah, you know I’ll explain commercial and one of my colleagues here will explain you public sector. That in the commercial, it’s actually quite simple. We had a large relationship with a deposit aggregator that exited – that we exited in early February. And that was a very high cost. So the cost actually did that contribute to the that actually coming down in February and March. So that was an actual transaction decision that we did that affected that one on the public deposits.
Paul Cardillo: Hey, Alex it’s Paul. So on the public deposits that for all the charts, we actually provide the data points as part of the analysis on a monthly basis. And so, given a variety of inputs, including day count and average balances, and whatnot, the calculation does move around a little bit –
Carlos Vazquez: And the lag –
Paul Cardillo: Along with a lagged effect of the re-pricing. So if you look back prior in that chart, what you can see is, it does jump around a little bit during the certain time periods, even when at least the comparative chart of the Fed funds is moving directionally. So that’s all that this is. We do expect that those – that that re-pricing has not yet been completed. And we talked about sort of another 60 basis points roughly in the second quarter.
Alex Twerdahl: Okay, that’s helpful. And then, you know, with respect to the NIM commentary about resuming an upward trajectory. Is that – is there a scenario where that can happen in the second quarter?
Carlos Vazquez: Yeah, if you move around in your model, the three things I mentioned case of interest rate increases, loan growth and mix and deposit balances and mix, I’m sure there’s a number of possible combinations that will give you a higher NIM in the second quarter. But you know, it depends on how those three things move.
Alex Twerdahl: Okay, thanks for taking my questions.
Carlos Vazquez: Thank you.
Operator: Thank you. The next question comes from the line of Kelly Motta with KBW. Please proceed.
Kelly Motta: Hi, thanks for the question. I think I’ll carry on with that at least a portion of that NIM question. Carlos, one of the things that you had mentioned was, you’re carrying higher balances at the Fed just out of conservatism? Do you mind sharing what you guys view as an appropriate level of cash you have on hand right now? And what are the things we should be looking for to toggle that either up or down? Do you need clarity from the regulators in order to take that down? Just interested in what we should be looking for as we think about the liquidity number ahead.
Carlos Vazquez: Yeah, I mean, to a large extent, what you see in our Fed account, right – in our cash position right now is a lot of the maturity that’s happened in our investment portfolio in the first quarter, minus the loan growth that we had for the quarters, that’s the outcome of those two things is the number in there. Now, we’ll keep watching this closely and evaluating the environment on an ongoing basis, Kelly. So I – we don’t – we’re not running it on the basis of a target amount of cash necessarily, we are running the business and the business results in an amount of cash. What we did decide in the first quarter was to allow the portfolio to mature without reinvesting or extending it again. Again, that is a discussion that we have in our weekly ALCO meetings. And we evaluate all the parts and come to conclusions on a dynamic basis. So, there isn’t a target, the level where we are, at this sort of seems to make sense to us. You know, it’s not a tough decision, because at this point in time, cash – the yield in cash is not bad. So it’s not a horrible decision to have cash at the Fed. So we’ll keep looking at it. You know it’s, again, and that position double unlikely. Well, that position we have what is unlikely, but it will probably gravitate around where it is. And, you know, if we make a decision to reinvest or move some of the cash to the investment portfolio, it will not change our characteristics of our cash position, because some of that will be people’s, but it will change the nature of our tax position.
Kelly Motta: Understood, I appreciate the color. Thinking about the buyback. In order to get more comfort with the buyback, do you think the board needs you know, the regulators to come out with additional guidelines on that front in, with what’s gone on in March? Just any sort of color as to what could get you guys more interested in buyback stock here?
Carlos Vazquez: Yeah, I mean, what we described in October is that we wanted more clarity on rates and the economy so that we could be more informed in making any decision in capital return. And that we thought that clarity may be available by the summer. You know, frankly, I’m not sure we have significantly more clarity now than we had then. So, you know, hopefully we’ll get clarity by the summer but I’m not sure we’re there yet. I think the more important thing is what we mentioned, which we have added those to consideration of regulatory changes. You know, if anybody’s guess exactly what the regulators will come up with, we do not know. But we will be attentive to how they are moving. You know we definitely don’t want to be in a position where we do something and there’s a word your announcement a month later and it makes our life much more difficult because we did something that moved us in the wrong direction. So you know we’ll be looking at all those things. It’s hard to gauge right now what else will come out, Kelly. So we’re paying attention and listening. So it’s three things now that we’re waiting to get some clarity on that, too. So we’ll just see how those evolves.
Kelly Motta: Got it. And just to speak a last one in on the capital front is the dividend. We had discussions about the buyback. You usually have a dividend raise in 2Q, I think that’s part of your hold capital discussion. But wondering if there’s any updated even if a buyback is in the cards necessarily is, are you still thinking about the dividend the same way in any target for a payout ratio on that?
Carlos Vazquez: Yeah, we tend to work the two things together. But I think you’re right in pointing out, they don’t have to be together. So it’s something that we will continue to consider. Again, I mean I think probably step back for a minute, the more important point to make is, our long-term view on capital hasn’t changed. You know we still expect over time that our capital ratios will lower the direction of our Mainland peers, plus a spread. But that is over time, that doesn’t mean every quarter in a perfect sequence, number one, and number two, now we have the other uncertainty that we have no idea where our peers will be required to be, if the rules change. So we have to keep those things in mind.
Kelly Motta: Okay, I’ll step back. Thank you so much for the questions.
Operator: Thank you. The next question comes from the line of Brett Rabatin with Hovde Group. Please proceed.
Unidentified Participant: Hey, guys. Good morning. This is [Brian] [ph] calling in for Brett.
Carlos Vazquez: Hi, Brian. How are you?
Unidentified Participant: Just wanted to go quickly back – good. Thanks. Just want to go quickly back to deposits. I appreciate the detail in liquidity deposits slides you added. It looks like demand deposits decreased similarly to what we saw last quarter. Do you guys expect a steady mix shift over into interest-bearing accounts from DDA? And then on the deposit beta as well, you mentioned that most of the segments are at or above their prior cycle deposit beta. And you guys on the Island maintain an advantage to the Mainland, but just wanted to know if you expect those betas to increase notably above the prior cycle? Thanks.
Carlos Vazquez: Yeah, on demand deposits you know, I think that the message is demand deposits Brian is that they’ve been very steady actually. And we have seen as I mentioned, some commercial clients also my net worth clients seek higher yields. We have also been successful, and when the clients are in that position, to help them achieve that without leaving the relationship or shrinking the relationship with us. I mean we had increasing assets under management of Popular securities over $450 million in the first quarter, which is exactly that. But you know, the fact that that happened, and you see that demand deposits from the fourth and first quarter were flat, it means that somebody else brought in $450 million. So, demand deposits have been quite steady actually, most of the volatility we’ve seen in volume or levels have been in our interest-bearing accounts. And as you know, some of the big chunks or big moments happen in our public sector accounts that are large depositors, right. And I’m sorry, but I missed the second part of your question, Brian.
Unidentified Participant: Just on the deposit betas compared to the prior cycle.
Carlos Vazquez: Well you know, we’ve seen deposit betas accelerate probably every bank in the country has as the rates have gone up so fast and so high. So we’re above the last cycle. So I don’t think we have to – that the chances are that the betas for all banks will probably end up higher than the last cycle and in this cycle just because of the speed and magnitude of how the Fed raised rates. So that’s probably what’s going to end up happening specifically in our case, it’s hard to tell when you look at, for example, a big chunk of our deposit business, which is retail and commercial in Puerto Rico continues to have a sub 10% beta. So, you know, overall, betas will accelerate. I think is our view. They are already above the last cycle. There’s a reasonable chance that terminal beta will be higher than the last cycle. But you know, there is pieces of our business that continue to show a lot of strength, particularly the non-public pricing in Puerto Rico.
Unidentified Participant: All right, great. Thanks for the color. That’s it for me. Thanks.
Operator: Thank you. The next question comes from the line of Gerard Cassidy with RBC. Please proceed.
Thomas Leddy: Hi, good morning, everyone. This is Thomas Leddy calling on behalf of Gerard. A couple of quarters ago, you guys mentioned that you had not seen any new entrants into the market for lending and PR, such as from Mainland banks that haven’t historically been as active there. But you thought you might see some increased competition for some of the big pending infrastructure projects there. Has that dynamic changed at all in light of recent events? And any additional color you can try there?
Carlos Vazquez: I don’t think it changed very much. You know, it really is – the size of the investment is important. Obviously, because not every bank can make every size of loan. But when you have foreign operators that coming to Puerto Rico to run a public-private partnership, for example, you know, they have worldwide banking relationships and those relationships arrived to Puerto Rico with them in almost every instance. They want a local bank with our experience and capabilities to help them so we ended up either leading or being an important part of any effort to finance those kinds of projects. So I don’t think that it’s a change from what we’ve experienced in the past. Now, and hopefully some of these projects will get going pretty soon. There’s a number of the public-private partnerships that are supposed to be closer to realization now than they were months ago. And it does happen, that will be a welcome event.
Paul Cardillo: I just want too –
Thomas Leddy: Okay, thank you.
Paul Cardillo: I just want to – I just want to have to comment that, in fact, we are – I could say are engaged in those PPP projects. So we expect to have those come to fruition if the government moves quickly this year. So we will play an important part in those financings as we expected.
Thomas Leddy: Okay, great. Thank you. And then just a quick follow-up high level, obviously, credit quality remains pretty strong. What trends and credit are you guys watching most closely today? And how have those changed over the past couple of quarters?
Lidio Soriano: I will say the performance and the shift in the FICO mix of our books, and the performance of the small and medium enterprises in our commercial books, those will be the two particular elements that we’re watching closely.
Thomas Leddy: Okay, thank you.
Operator: Thank you. We have a follow-up question from the line of Brody Preston with UBS. Please proceed.
Brody Preston: Hey, guys. Just had a couple of quick follow-ups. I did want to touch on the consumer line of credit charge-off that you called out. Just I wanted to clarify, it was called the line of credit. I just wanted to ask if that was one line of credit or if that was multiple lines of credit?
Lidio Soriano: It was one line of credit, it is a legacy one-off type of relationship that shouldn’t recur in the future.
Brody Preston: Got it. Okay. And then I just want to ask one on the deposit mix. You guys outperform the industry, you know, by a wide margin on non-interest-bearing. So just wanted to get a sense for what your conversations look like with customers around rates, particularly as it relates to like, you know, any level of excess funds that might be in DDAs or do you feel like the non-interest-bearing mix can be relatively steady from here?
Carlos Vazquez: Yeah, I mean, we have discussions every day. The best way I can answer that question, Brody is that, we’ve been having those discussions for the last two quarters. And the results are the results. So we despite the fact that we’re having those discussions, that we have clients moving cash seeking higher yields, no, we’re still were able to successfully maintain you know stable demand deposit balances, that does not mean that some money did not move, as I said, we can track specifically $450 million of those monies that moved to our broker-dealer. But you know clearly, we successfully found another $450 million in demand deposits that showed up and joined the bank. So, so far we’ve been able to manage those interests of higher yields from our clients successfully. We’re keeping the relationship, we’re serving the client right away. We’ve been here before, and those flows go by back the other way when rates come down. So the important thing here is to keep the relationships so that when rates come down, the money does flow back into the bank. So that I mean, that’s the best, my best guess. Javier you want –
Javier Ferrer: I just want to add that we saw a very strong new deposit account opening numbers for the first quarter in Puerto Rico, including non-interest-bearing accounts. So just wanted to clarify that you know very high compared to prior quarters.
Carlos Vazquez: Javier, our net new account opening in the first quarter was higher that has been for a couple of years.
Carlos Vazquez: Yep. 2021 since the first quarter of 2021.
Brody Preston: Got it. All right. Thank you very much for the color, everyone. I appreciate it.
Operator: Thank you. We have a follow-up question from the line of Timur Braziler with Wells Fargo. Please proceed.
Carlos Vazquez: Hello?
Paul Cardillo: Timur, are you there?
Carlos Vazquez: Timur?
Timur Braziler: Yes, sorry about that. Actually on mute. Thanks for the follow-up. One last one for me on the expense base, appreciate the color on the reduction in the first quarter and the expectation for it to ramp higher as the year goes. Any additional commentary on the cadence of that increase to get to that unchanged guidance level? And then, secondarily, if you can provide any kind of color as to what type of internal budget you’re using for this year’s profit-sharing initiative?
Carlos Vazquez: Okay, on the second question, you know there is presently no incorporation of any profit-sharing in our numbers or our forward-looking. So there’s nothing on that is in our numbers or our forward-looking outlook at this point in time. On your first question, you know it’s tough to tell, because it depends on when the projects get going and when the people that are helping us in this project have to actually develop. So I would assume that it will be straight line up and that will be my best assumption right now for in the next three quarters to reach the goal, but you know it’s the best I can – I have a colleague here telling me what – so that’s – it is my – though a straight line and your model is probably not going to be far from the truth.
Paul Cardillo: I’ll just clarify. We do a crew based on service has provided and we don’t wait for it.
Timur Braziler: Okay. But of course, and then I guess once those project –
Carlos Vazquez: I’m sorry?
Timur Braziler: I guess once those project start to ramp up as the expectation going forward that those expenses remain on or is it going to be as lumpy as we seen in the first quarter?
Carlos Vazquez: Well, it will depend on the project, Brody – sorry, Timur, if it’s you know if it’s – it will depend on the project. I don’t think there’s a global answer to your question.
Paul Cardillo: You know the project and the number of projects that are ongoing at the same time. We’re just moving from the theory and the planning to execution, that’s just how quickly we can get all those plans going.
Timur Braziler: Okay, thank you.
Operator: Thank you. [Operator Instructions] There are no additional questions at this time. I would now hand the call back over to Javier Ferrer for closing remarks.
Javier Ferrer: Thanks again for joining us and for your questions today. We look forward to updating you on our progress in July. Thank you.
Operator: That concludes today’s conference call. Thank you. You may now disconnect your lines. Transcript Provided by